Operator: Thank you for standing-by. Good day and welcome to Maxim Integrated Products Fourth Quarter 2008 Earnings Release Conference Call. Today's call is being recorded. At this time for opening remarks and introductions, I will turn the call over to Mr. Paresh Maniar, Executive Director of Investor Relations for Maxim Integrated Products. Mr. Maniar, please go ahead.
Paresh Maniar - Executive Director of Investor Relations: Thank you, operator. And welcome everyone to our fiscal fourth quarter 2008 earnings conference call. With me on the call today are; Chief Executive Officer Tunç Doluca, Group President, Pirooz Parvarandeh, Group President, Vijay Ullal, Division Vice President, Chris Neil and Vice President of Finance, Bruce Kiddoo. There are some administrative items that I would like to take care of before we cover our results. First, we will be making forward-looking statements on this call and in light of the Private Securities Litigation Reform Act, I would like to remind you that the statements we make about the future, including our intentions or expectations or predictions of the future, including but not limited to possible statements regarding bookings and turns orders, revenues and earnings, inventory and spending levels, manufacturing efficiency or capacity, projected end-market consumption of our products, the estimated time to complete our restatement project and any other future financial results are forward-looking statements. If we use words like anticipate, believe, project, forecast, plan, estimate or variations of these words and similar expressions relating to the future, they are intended to identify forward-looking statements. It is important to note that the company's actual results could differ materially from those projected in the forward-looking statements. Additional information about risks and uncertainties associated with the company's business are contained in the company's SEC filing on Form 10-K for the year ended June 25, 2005. Copies can be obtained from the company or the SEC. Second, in keeping with SEC's fair disclosure requirements, we have made time available for a question-and-answer period at the end of today's call. This will be your opportunity to ask questions of management concerning the quarterly results and expectations for the next quarter. And operator will provide instructions at that time. We again request that participants limit themselves to one question and one follow-up question during the Q&A session. Before I hand the call over to Bruce, I want to remind you of the contents of our January 31, 2007 press release, which reported that due to stock option accounting matters, Maxim expects to restate its financial statements. Since the company has not yet issued restated financial statements, we are unable to provide detailed GAAP or non-GAAP financials for the quarter end fiscal year ended June 28, 2008. As a result, all numbers contained in our press release and discussed on this call exclude all stock-based compensation. These number should be treated as estimates only and are subject to change. I'll now pass the call over to Bruce.
Bruce E. Kiddoo - Vice President of Finance: Thank you, Paresh. I will begin by providing a status of the restatement effort. Measurement based for stock option grants and the related accounting treatment have been determined. We are in a final phase of the restatement process with three primary remaining task, finalizing calculations for stock-based compensation expense and the related tax impact, generating amended and updated 10-K and 10-Q financial statement, and completion of our procedures by our two independent accounting firms. Presently no significant accounting issues or scope additions are pending with our auditors. So our completion is not dependent on external parties other than for the task described above. This remove the significant level of uncertainty and we are focused on completing the final free task as soon as possible. Based on our progress to-date, we expect to record additional non-cash stock-based compensation expense during fiscal 1995 through fiscal 2006 of approximately $800 million pretax. At the same time that our restated financial statements for such years are filed with the SEC. We've will file our annual reports on form 10-K for fiscal years 2007and 2008 and six quarterly reports on form 10-Q for the first three quarters of fiscal years 2007 and 2008. Collectively these filings will bring us current with our reporting obligations with the SEC. Looking ahead, once we are current with our filings we are forecasting stock-based compensation expense in fiscal Q1 2009 to decline by a approximately 20% compared to stock-based compensation expense reported in our press release stated August 4, 2006 for fiscal Q4 2006. Moving onto the results of our recently completed June quarter, let us start with certain items from the income statement. Revenue for the fourth quarter was $501.3 million slightly above the midpoint of our guidance. This is 2.8% increase from the $487.4 million of revenue recorded in the previous quarter. For the fiscal year ending June 28, 2008 the company achieved record net revenues of $2.051 billion. Our revenue mix by major end market in Q4 was approximately 31% computing, 26% consumer, 23% industrial and 20% communications. In the computing market we had strong sequential revenue growth. As expected growth was driven by a key battery customers are recovering from his plant fire the ongoing land of our storage business continued share gains in the notebook display segment and the extension of the of the Santa Rosa platform. In the consumer market our revenue grew enhance, that as expected. This was offset by general weakness in other consumer markets. In the communications market our revenue grew due to continued strength in the Asia infrastructure market. And finally in the industrial market our revenue was essentially flat inline with normal seasonality. Gross margins in Q4 improved by 60 basis points over Q3. As projected in our last earnings call gross margins decline slightly due to mix versus the previous quarter. However, we benefited from a favorable adjustments through our warranty reserves. Q4 was our seventh straight quarter of stable gross margins. As forecasted we tightly managed operating expenses in Q4 increasing only 1% sequentially and well below our sequential revenue growth of 2.8% giving at leverage below the line. Total non-recurring items during Q4 were $35 million, including approximately 19.4 million related our restatement. The ongoing ramp down of the Dallas wafer fab and test operations resulted in Q4 charges of 3.4 million for severance and 11.3 for accelerated depreciation. We will report additional charges for accelerated depreciation and severance over the reaming period of the Dallas wafer fab ramp down. Turning to the balance sheet; total cash, cash equivalents and short-term investments increased by 15 million during Q4. Strong cash flow generated from operations was primarily reduced by $60 million for dividend and $36 million in payments for previously acquired property and equipment. Inventory excluding stock-based compensation increased 2% during the quarter in line with revenue growth. Average days sales outstanding decreased from 52 to 49 days due to improve linearity. Capital expenditures totaled $37 million in Q4, down $5 million form Q3 and down $29 million from Q2. This is consistent with our goals and reduced capital expenditures and at the lowest part we announced in two years. Capital expenditures during fiscal 2008 totaled $230 million, which was at the low end of $200 million to $250 million of guidance and 44% decline from the company's capital expenditures in fiscal 2007. Regarding bookings and backlogs, during Q4 Maxim bookings grew sequentially and the book-to-bill was ratio was 1. The ongoing chips in customer vendor mange inventory program distorts the magnitude of quarter-to-quarter booking comparison. We are therefore discounting our practice to provide specific booking numbers that will provide directional information regarding bookings in future quarters. Our beginning current quarter backlog of net realizable revenue for Q1 is $326.3 million. This is a 0.9% increase over the backlogs of net realizable revenue of $323.4 million at the beginning of Q4. Based on our bookings and beginning backlog we expect Q1 revenue to be between $500 million $510 million. Our Q1 revenue reflects the reduction in our notebook core management business primarily due to transition of Intel base notebooks from Santa Rosa to Montevenia. Given the current macro economic environment in the notebook core power headwind we believe our revenue guidance affirms the strength in the rest of our business. Our revenue growth in Q1 will be driven by the following market segments. Cell phones at the normal seasonal strength in that segment is augmented by a revenue ramp from recent design wins. LCD displays driven by growing demand, communication as the built out our wireless infrastructure in Asia continues and in industrial markets as we see broad based demand. Overall we expect growth in three of our core end market. For gross margin Q1 will not have the benefit of the Q4 warrantee adjustment and factory utilizations will decline as we carefully manage inventory. Therefore we expect gross margin to be around the low-end of our target range. We are actively working on various cost reduction initiatives including the shut down of the Dallas fab to achieve our objective of stable gross margins. For operating expenses Maxim's annual power increase goes into effect at the beginning of September. The last month of the current quarter. Therefore operating expenses will increase slightly in Q1. In Q1 we again expect strong cash flow offset by dividend payments for previously acquired capital equipment and goodwill payments for expired options. In FY09 we expect capital expenditure to be in the range of $150 million to $175 million, which at the midpoint will be at 24% decline over FY08. Due to our continued strong cash flow and management's confident in the business going forward. We announced today 6.7% increase in our dividends. This is part of our comprehensive review of our capital structure including our dividend and share repurchase programs. We will provide further details on share repurchase program after the restatement has complete. I will now hand the call over to Tunç to provide additional comments.
Tunç Doluca - President and Chief Executive Officer: Thank you, Bruce, and thank you all for joining our call, and good afternoon. Maxim just completed another year of record revenue and strong cash flow from operations as Bruce mentioned previously. In spite of these results, we are disappointed that our growth has slowed in recent years, as has the rest of the industry. Maxim is implementing several initiatives designs to increase earnings growth in future period. Many of these initiatives have been announced in prior conference calls. On the product development front we accelerated a new product introductions in our just ended fiscal year as measured by engineering contents. The metric we use for measuring our engineering content, which will report to design engineering nine months introduced grew by 44% in fiscal 2008 over 2007. This mark two consecutive years of improvement and we expect this performance to serve as the catalyst for future growth. We expect further improvement in R&D productivity going forward. As you may recall we organized our business units by end market focused in April. We expect the skill set alignment, IP we use, technology platform consolidation, and closer collaboration to further improve the productivity of our R&D team. In other area of noticeable improvement during the recently ended fiscal year was our performance to delivery commitment made to our customers. Our on-time delivery to the originally promised ship date improves from approximately 89% in fiscal 2007 to 94% in 2008. Key contributors to this were improved manufacturing cycles time and attention to customer deliveries at all employee levels. As we noted in our earnings press released last quarter, this improved customers satisfaction enable us to achieve preferred supplier status that kind of the 11 partner accounts to provide formal supplier rate. I will now turn to key growth drivers for the coming years in our major markets. I will start with communications first. Our RF products are achieving good growth in base stations. Since they enabled the highest level of sensitivity. This is expected to provide revenue growth as the GSMH deployment in China and India continues. Our optical transceiver chipsets are best suited for meeting the stringent requirements of GPON length and are benefiting from the GPON rollout. Additionally, we provide specialized timely intergraded products for the control and monitoring functions in optical modules. These expands our available dollar content, for optical link Next the industrial market, portable ultrasound medical equipment are being rapidly deployed worldwide. We sell highly integrated analog front-end that provides a highest image quality at very low power. We also supply the industries smallest high-voltage switches and highly innovated pulser into the this application. While visiting customers in China, I observed many design wins in this application. Maxim's sample [ph] detection and encryption circuit have a growing position in secured financial terminals. We continue to expand our product offerings by providing specialized solutions. Data integrity and security is an ongoing challenge for most institutions, and we are able to help our customers with our products. A recently introduced electricity meter products has been sampled to over 25 customers. We have more than half a dozen design wins already thanks to our superior power measurement accuracy. Now turning to the computing market. As expected we lost notebook PC motherboard DC to DC converter revenue due to the switch over from Santa Rosa to Montevenia base notebook designs. In the medium term some of that loss will be offset by again in our display and battery life. Our battery pack business is expected to grow from fiscal 2008 to 2009 shipments will rebound that our customers as they recover from their unfortunate plant fire last year. We also recently introduced our next-generation products and have already won design in Japan and Taiwan. These projects will be ramping by the end of this calendar year. In the storage market Maxim's baseboard management chips and 3 gigabit per second expanders ramping up in designs that we won earlier in the year. In addition our first 6 gigabit per second products are out of way for fab and are generating a lot of interest at our Tier 1 customers. Our Estated [ph] redrivers allow high speed signals from notebook PCs to be transmitted to an external data hard drives. We expect this feature to become popular since this link enables much nice faster data transfer than USB and mobile hard disks backup application. Our broadband switches allow desktop PC manufactures the flexibility to choose between internal or external graphics cards with a common platform. We already have multiple design wins in this display ford application. We expect the LCD display segment to provide large percentage revenue growth in fiscal 2009. Key contributors are highly integrated power management products, and enhanced video functionality. Maxim has long existing relationships with Tier 1 customers in the display market in Korea, Taiwan and Japan. We have been executing well on fast development schedules, and are meeting our customer's time to market needs. As a reminder, LCD displays fall under, both the computing and consumer major markets, since they're shipped with PC and as televisions. We continue to expand our presence in the consumer market. In the handset segment, the market share that we're gaining audio subsystems at both major Korean handset makers will drive revenue intermediate term. Additionally, we've been shipping multiple ICs in the recently introduce 3G Phones, that is enjoying very good market acceptance. A new highly integrated IC consisting of audio subsystem, codec, automatic global control, and equalization has made Maxim a leading vendor of digital audio as one of the Tier 1 handset customers in Korea. This provides new revenue stream for us by expanding our dollar content per handset. Our mini-analog base band products score design wins in multiple models. At a Tier 1 Korean handset manufacturer. Integrated audio functionality was the key differentiator contributing to these win. Revenue from these handsets is expected to contribute noticeably in calendar 2009. Additionally, a high integration analog base band chips that's includes power management, touch screen controller, and the audio subsystems achieved the design win along side of Marvel applications processes. Design wins for anti-shake products, the Japanese and Taiwanese digital SLR camera customers, are a successful step for our integration path for this market segment. This expands our available market, in digital cameras beyond power management. That covers a small sampling of our growth opportunity. As you can see, Maxim continues to excel at delivering analog and mix signal chips that add value to our customers and products. The restatement process will be behind us soon. We are looking forward to the opportunity to reintroduce Maxim into the investment community. We firmly believe that our strong cash flow and our significant growth opportunity, make us one of the most exciting company in the mix signal analog semiconductor space. Now with that, I will turn the call back to Paresh.
Paresh Maniar - Executive Director of Investor Relations: That is the end of our prepared comments. We will now welcome your questions. Please limit yourselves to one question with one follow-up. Operator, will you please begin polling for questions. Question And Answer
Operator: Certainly. [Operator Instructions]. Our first question comes from Ross Seymore from Deutsche Bank. Your question please.
Ross Seymore - Deutsche Bank Securities: Hi guys, just two questions. First, on the revenue line and then on the gross margin line. On the revenue side of things, could you give us a little bit of idea of how we should quantify what the notebook impact is, with Montevenia replacing Santa Rosa, and kind of what that does to impact your revenue outlook?
Tunç Doluca - President and Chief Executive Officer: Hi Ross. Well, I think that if we look at that impact, we believe that to be somewhere in the upcoming quarter somewhere in the range of about 1% to 2% of revenue type impact and going forward you know allow back headwind for maybe a couple of other quarters. And then, we expect that to be behind us.
Ross Seymore - Deutsche Bank Securities: Okay. And then, I guess, keeping on the revenue theme on second thought. Earlier this year, you talked about increased seasonality given the change in your business model, even if I include that notebook part it doesn't seem like you're particularly more seasonal than any sort of historical basis. Can you describe why not?
Bruce E. Kiddoo - Vice President of Finance: Yes, Ross, this is Bruce. I think when we look at our business and kind of macro environment that we are in right now. When we look at Q4 results with the 2.8% sequential growth we're probably at the high end or certainly above the average of our peers. And, when we look at the Q1 guidance, and you make that adjustment for the notebook power management business we are in the same range as our peers well. And so the issue really is, kind of macro economic environment it's really kind of slowing down everybody. And it's affected us as well. As I said in comments, we think when you make that adjustment for the notebook power management business, and you assume that that's going to be behind us very soon. We're very comfortable with the growth that were showing both this quarter and going forward.
Ross Seymore - Deutsche Bank Securities: Thank you.
Operator: Thank you. Our next question comes from Craig Berger from FBR Capital.
Craig Berger - FBR Capital: Hi. Thanks for taking my question. Can you just help us understand a little bit what your operating expense spending plans are in dollars, as we move forward?
Tunç Doluca - President and Chief Executive Officer: Bruce, you want to take that?
Bruce E. Kiddoo - Vice President of Finance: Sure, and unfortunately we can't talk specifically about numbers right now. I can say over the two quarters, we've managed OpEx so that's it's only grown right around 1%, the last two quarters sequentially. And certainly, our goal going forward is to manage OpEx very tightly to drive leverage. Certainly, our goal is to have it grow at a slower rate than revenue. And, we are very focused on that internally, at the company and we'll continue to be focused on that in the fiscal year '09 going forward. I just want to say to the extent that once revenue begins to accelerate as we get through this period, we expect to drive additional leverage by continuing to manage OpEx very closely.
Craig Berger - FBR Capital: Can you update on your White House [ph] semiconductor storage product acquisition a little bit, with maybe what the investment profile is for that business, what your competitive position is, what the growth opportunities are? Thank you.
Tunç Doluca - President and Chief Executive Officer: Okay. So, for the storage products acquisition that we did about a year ago, we are really very happy with that acquisition. We've had a, as I mentioned in my talk, we've got a lot of design wins in the two areas basically, one was base board management chips, and chip and the other one really is in 3 gigabit per second expanded products. So, those are going very well. And, as I said before, our 6 giga expanders is out of fab, and our tier one customers are very excited about that solution that were providing. So, I think it's going to be a good opportunity for growth for the company.
Craig Berger - FBR Capital: Can you talked little bit about the investment profiles associated with that business, and the scaled to be with LSI and Marvel?
Tunç Doluca - President and Chief Executive Officer: Well, our major investment in that area is in these two products lines that I mentioned. So, it's not as comprehensive, in terms of what you are thinking about, a complete rate solution and so on. So, we're really investing in some specialized products, where we can see, our ability to do, high speed files and so on. In an integrated fashion are very critical. So, we are not investing as heavily as somebody like LSI is.
Craig Berger - FBR Capital: Thanks for the detail, and good luck.
Tunç Doluca - President and Chief Executive Officer: Thank you.
Operator: Thank you. [Operator Instructions]. Our next question comes from Sumit Dhanda from Banc Of America Securities.
Sumit Dhanda - Banc of America Securities: Yes hi. I have a couple of questions. First, Tunç or Bruce, if you could just talk to any changes perhaps, you've seen in your order patterns that Texas Instruments have talked about weakness in June, a little bit excess inventory in the channel, and a slow start to the month of July. If there is any color you could offer on that front, and then I had a follow-up? Thank you.
Bruce E. Kiddoo - Vice President of Finance: Sure. This is Bruce. Our bookings patterns in Q4 were similar to our prior period. So I don't think there was anything unusual there. From the distributors side, our inventory was in essence flat, it was up slightly in the U.S. at Avnet is restocking so we transitioned that business from Aerial and it was down slightly international. And from a revenue point of view, it was essentially flat as well. So we think that the... that's the channel that the inventory seem under control from our point of view. And really the way we're looking at that business now as we went through the conversion from Aerial to Avnet we think that conversion happened very successfully. We didn't see any drop off in our business, which was the risk. We've made it through that process and now we're beginning the focus on the demand creation side, which is really the long-term value that we are going of our strategy with Avnet.
Sumit Dhanda - Banc of America Securities: Okay. And then I had a follow-up on broadly on margins, so first you say that gross margins would be at the low end of the range. I'm assuming that low into the 64 plus or minus a 100 basis point? And then on operating expenses, your guiding for slight increase is that a couple of percent and once we get past these focal increases, can we expect to see the benefit of the restructuring that you had initiated or talked about early in the year, you know, as it's related to your transceiver line and how that will benefit operating margins?
Bruce E. Kiddoo - Vice President of Finance: Certainly, so the restructuring occurred in at the end of January. So we had a partial benefit in our March quarter and we had a full benefit in the June quarter. so, as where we only grew operating expenses about 1% versus the 3% growth and revenue we didn't see that benefit already of that restructuring when we talked about the September quarter we said that OpEx would increase slightly as we indicated that's really due to we are clearly going to try to keep that as lower than increase as possible given that's the revenue growth at the mid point is only growing at point 7% and then as I said going forward we are going to continue aggressively manage that number just like mixture on ability around gross margin we have now very focus in the company to manage OpEx the same way.
Sumit Dhanda - Banc of America Securities: And then on gross margin you think you will at the low-end of the range it's basically 63, is that right way to think about?
Bruce E. Kiddoo - Vice President of Finance: Yeah, I mean incorrect our range is really 63% to 65% and so we expect to be around the low-end there.
Operator: Thank you. Our next question comes from Mike McConnell from Pacific Crest Securities.
Mike McConnell - Pacific Crest Securities: Thank you. Could you Bruce talk about just with respect to the restatements what should mean soon. I mean, are we expecting it to happen in the September quarter?
Bruce E. Kiddoo - Vice President of Finance: It hasn't been a good idea for us to give dates, but having said that we clearly have made substantial progress and if you look at the remaining tag a hand [ph] which is really just doing the final calculations, preparing the Qs and Ks and getting our orders to sign off on both of those... this is really execution at this phase, and so we are very confident that a lot of the uncertainty that has been in that was out there previously we move fast. We are depended on any external parties except for the order procedures perform by our local orders. So from that point of view we were moved to significant amount of risk. So we do expect to get this completed as soon as possible. And hope we will don't have to talk about this again.
Mike McConnell - Pacific Crest Securities: It is fair to say sooner than later?
Bruce E. Kiddoo - Vice President of Finance: Absolutely.
Mike McConnell - Pacific Crest Securities: Okay. And then how much cash does the company need really to run the business?
Bruce E. Kiddoo - Vice President of Finance: So, we are taking a look at that and having those discussion internally and one third board. But, I think it's fair to say, roughly about 500 million to 700 million is a good bench market when you look at that compared to our peers.
Operator: Thank you. Our next question comes from Uche Orji from UBS.
Uche Orji - UBS: Thank you very much. Just a couple of short simple questions. The first is when I look at your handset design wins, just can you tell us how do dollar contents of you what you have changed within handsets than and then what is the current contribution handsets to the revenue of the company?
Tunç Doluca - President and Chief Executive Officer: Okay. I will take that. First of all, I'd rather not specify exactly what the dollar content of any of our end market sales is. Other than just talking about in major market, but we believe that these new products high leading products that we mentioned the dollar content has increase to somewhere between depending on the application $2 to $4, So it's significant for us, and especially the amount of integration that we see is allowing us to suck in more of the content that would be done in discreet.
Uche Orji - UBS: Okay. In terms of what that means for your margins I mean it would be one way for us to calibrate this if you where to compared the margins from this two computing and it related to that also. Could you just talk to me about your strategic commitments to the computing businesses, when I look at the competitive environment it looks like many other players are trying to get more aggressive in this market. So two questions here one is, just help me index this contribution of handsets, and then speak about your strategic commitments, and how you respond to the competitive environment and in the computing market?
Tunç Doluca - President and Chief Executive Officer: Okay. There are really two questions there. I mean, in general the answer is that whenever we are able differentiate our products, we get better margins, and what we find us in the handset market for example we that obviously is a very large targets. So everybody is interested in it. But the number of companies they can make differentiated products are much fewer in that area. And we are able to take all these diverse IP areas like I mentioned power management, audio, touch screen interface, USB etcetera. And when we put those all together, and make a list of companies that can do the same, it's a very, very short list. So, even though the margin may be slightly below our company average. It would very expectable and very exciting area first to be in. Now, to turn back to the computing area the story is a little bit different. In that area there are on the motherboard many sockets that really is very tough to differentiate between other people. there are typically lower integration single function products. And that is the area where we have truly decided, not to further investment. However there are product or functions within a noble PC application where again we are trying to waste to differentiate and where there is furious suppliers given example of this before examples like displayed to go to notebooks, examples are, battery pack products, that are very highly integrated, and very few competitors, if any process technology, that can even do these, even if forget about design capabilities. So we will continue to pursue sockets and notebooks in these areas, as well as on motherboards where we can make a differentiated product, and there are some of those, opportunities for us going forward.
Operator: Thank you. Our next question comes from Romit Shah from Lehman Brothers.
Romit Shah - Lehman Brothers: Thanks. Good afternoon, guys, I noticed just with the dividend arise this quarter that you guys are actually supporting 4% yield at this price. Giving, I guess your outlook for cash flows over the next couple of quarters, do you feel like, this is a number that you could potentially raise or you are sort of targeting a 4% yield?
Bruce E. Kiddoo - Vice President of Finance: This is Bruce, so as you know we look generally we look at our dividend on annual basis and that's what we did this year and the board review that and approved the 6.7% increase, so I wouldn't expect to see that increase further the benefits for that increase is was more confidence in our cash flow obviously we've given guidance now about capital expenditures that has a midpoint is down is a decrease of $50 million plus our confidence in the business going forward and with the ability to increase that dividend. We don't look at much at currently as the dividend yield only because our view of the valuation of our stock.
Romit Shah - Lehman Brothers: Okay. And just as a follow-up that you guys selected Bob Grady from the Carlyle group join the board how should we read into that?
Tunç Doluca - President and Chief Executive Officer: Well, I think that what Bob brings to the picture is that he does have good experience base, and what's going on and in venture and investments, as well as various financing areas. So I think there was good cap somebody to be to our Board that had some VC experience because the others members of our board that had VC experience really have been kind of away from that area, so I think that it was a good addition. And the same time now that you've asked the question we also had a bill because we had some good operating experience from our company that has formal challenges in Maxim in terms of operating expense controlling, so I think that we added two people from two different areas.
Operator: Thank you. Our next question comes from Manish Goyal from TIAA Group.
Manish Goyal - TIAA-CREF: Yes, hi. It's Manish Goyal from CREF. Couple of questions; did you say that the impact of transition to Montevino will continue for next two quarters, or just one more quarter, and are you including the September results?
Unidentified Company Representative: Well, most of the impact is that we are going to see is in just Q1, which is the one we're in right now. And it will be less in fiscal Q2.
Manish Goyal - TIAA-CREF: And secondly, while you were discussing your wireless opportunities. Can you put some dollar amount and say what is total dollar potential in revenues in calendar 2009, and how does it compare to 2008? Is this is a $10 million per quarter type of the revenue opportunity or is this a much bigger opportunity than that so, if you can just help us size this?
Unidentified Company Representative: Manish, you're asking a good question. But, it's something that I really don't want to quantify in terms of how larger revenue this will be from. You are asking from this last year to this year, correct?
Manish Goyal - TIAA-CREF: Right.
Unidentified Company Representative: I'd rather not answer that. But, I do... but all I can tell you is that it is significant for us and we really... in my trips that, I think I mentioned in the previous call, I witnessed first hand many of these customers, the deign wins and especially how much craze they had for the products that we showed them. And they were very excited about these parts.
Unidentified Company Representative: I just wanted to add to that. I think we talked about this in the previous earnings call. And that we have at Maxim been able to diversify beyond the CDMA market into GSM and UMTS phones. And that's why the significant amount of upside for us in arena.
Manish Goyal - TIAA-CREF: Okay, great. Just similar question on hybrid cars; can you give us as to what your participation is in hybrid cars, maybe by per car or maybe a dollar number, what it looks like for 2009?
Unidentified Company Representative: So, well, 2009 frankly is a pretty short-term for automotive market. But, our participation mainly is in the battery monitoring and management type functions and especially these are in lithium iron type batter application. And most of the design wins are opportunities we are seeing are actually in the Japanese customers. And typically in these applications, there are stacks of batteries ranging from anywhere from 10 to 25 types tax and pretty much each one of these batter management I see. And I mean just to give you an idea Bruce and I have looked at this as previously, it was about was roughly... I think I am going to have to get back to you, because I don't remember the exact number. And I don't want to give the ASP of the products. So, but it's significant tens of dollars, let's say per car.
Pirooz Parvarandeh - Group President: This is Pirooz speaking. In addition, I think we are participating electronics, electronic control units within the automobile. That are not specific to hybrid cars necessarily, they are going into, systems such as entertainment systems, and body controls as well. So those are not specific to hybrid cars. You are making pretty good endurance with tier-1 customers with regard to the perception and the expectance of our products, and the technology that we offered to that marketplace. So again, a lot of much you know that's there is dollar contact and battery monitoring in these hybrid cars as well.
Unidentified Company Representative: So, Manish, today, I just want to make sure that everybody on the call understand, these products, we pretty much of more recently sampled customers in. And has known in the automotive market, it's going to take a year or two for those to wrap. So, it's not you asked what the contribution was in 2009 for the battery products, it's really not going to be significant in 2009.
Operator: Thank you. Our next question comes from David Woo from Global Crown Capital.
David Woo - Global Crown Capital: Yes, I was... my question is really, Tunç, you have two consecutive years are improving engineering productivity. I was wondering the lead like relationship between those and new product revenue. Some of these obviously are quicker at it's so slower, but given your mix of business? How much does it add to your fiscal '09 and possibly fiscal 2010 top line?
Tunç Doluca - President and Chief Executive Officer: So, that's a good question. So, in terms of... first of all, let me just quantify just a little bit more. So as I said, we had 44% increase. But, I also... we didn't mention it, but it was a very broad based it was not really in one specific area or one specific division in the company it was fairly broad based. And you would expect in some of the more consumer type markets, in displays or handsets. You'd begin to see revenue from these even within a year, year and half. But in other segments, where we also improvement, like in automotive or some industrial applications some computing applications, it might take two years to three years. So, I would say the impact... revenue back you would see from these improvements would be somewhere between one and three, one and four years.
David Woo - Global Crown Capital: So, can you quantify what the fiscal '07 was? Because you said there was a two consecutive years of improvement.
Tunç Doluca - President and Chief Executive Officer: What the improvement was in '07? Improvement in '07 was 23%.
David Woo - Global Crown Capital: Okay. If I may I ask one more question, the automotive business is something that everybody is very fond of. It takes a while to get going, but at this stage, how big is the current business, and let's say in two or three year's time. What kind of business would it be for Maxim?
Pirooz Parvarandeh - Group President: So, I think this is Pirooz speaking. The current business level that we have for our automotive products is somewhere around, it's very small, sounding over, 2% or of our 3% of our total revenues. And we project that we're going to have these design wins or these new products kick in an approximately two years. And at that time I think that we are going to be seeing substantial revenue growth from those products I can't really... I don't want to quantify that in terms of dollars, but I think that you can expect something approximately about 4% to 5% number something on that order. But, the best that's in fiscal '10, and fiscal '11.
Operator: Thank you. Our next question comes from Craig Ellis from Citigroup.
Craig Ellis - Citigroup: Thank you for taking the question. Bruce, you mentioned one the things it's impacting gross margins in the fiscal first quarter is inventory and lower utilization, where do you expect channel inventories not end inventories to be when you exit the quarter. And how should we think about the inventory impacted to gross margins in the fiscal second quarter?
Bruce E. Kiddoo - Vice President of Finance: Right. What we said that we lowered our back for utilization and we are now running at about our internal fabs at about 75% capacity. And the reasonably did that was to proactively manage inventory. As we've indicated inventories this quarter were only up 2% in line with our revenue growth and the distribution inventory in the distribution channels was flat as well. So, we don't necessarily see that we have an inventory problem today. We just wanted to proactively insure that we don't create one for us in the future. And so that's why we've kind of resized our factory utilization to the current demands. And as our demands picks up going forward, we will obviously have that ability to ramp our factories and improve the gross margin going forward.
Craig Ellis - Citigroup: Okay, that's clear. And there is a follow up for you. I know that acquisition is part of the gross strategy, how should we think about the pipeline that you are looking at and what are the prospects toward you've tripled the trigger on something as we look out over the next couple of quarters?
Bruce E. Kiddoo - Vice President of Finance: Sure. Our strategy remains the same and that we are looking at tuck-in acquisition on a make or buy basis, where we're looking to kind of fill in our roadmap. I think the process about a year ago, we added a business development team; that process is really kind a gearing up now. There is... I would say the funnel is getting very full. As you know the amount that you actually come out, is small. And so, we are actively looking at many opportunities. We are applying a very rigorous process, obviously to make sure we only invest in the best opportunities. So, I think you will continue to the see us probably two to three a year would be my guess. But it's certainly the along to same model, it's a bit tough acquisition, which we believe was very successful for us.
Craig Ellis - Citigroup: Okay. And then if I could just a longer term question for Tunç. Tunç, one of the things you've done as you've said a very helpful target model. I think that revenue growth rate is 15%, you mentioned just a current industry growth; it's been fairly muted. I think you guys were up 4% last year, it looks like this calendar year, you will be up actually down around 3% obviously with the notebook headwind. But how do you think about that long-term target model given the way the sales growth as we performed over the last year and half and what you see as the support of the next two to three years?
Tunç Doluca - President and Chief Executive Officer: What we want to the do going forward, really is to grow the company about 200 or 300 basis points about what are whole market growing out, Mexico market is growing, so that debt is really is our goal. And I think that we've done a lot of things in the company, which are going to be very useful and is achieving that goal. I mean we have we now more efficiently organized, better skills that alignment. We've consolidated our technology platforms, our IP reuse much better and higher level of collaboration. We have been investing in new market and product lines, such as automotive that Bruce talked about it earlier, storage power line communication et cetera. We are really reemphasizing innovation at Maxim. We formed the office of the CTO, and we are seeing lot of activity in terms of new ideas. We show that our energy productivity can be improved, and we demonstrated that over the last couple of years. Bruce talked a little bit about our acquisition strategy to add a new product lines to company and as well as talent. We've got in closer to our top customers. We've really solidified their trust in our company. And we've also modified our distribution strategy to sell our existing products more effectively to small and mid size customers. So I really believe that Maxim will be able to achieve this 200 to 300 basis point industry average growth.
Operator: Thank you. Our next question comes from John Dryden from Charter Equity Research.
John Dryden - Charter Equity Research: Hi, thanks for taking my question. Tunç, within mobile devises, can you just talk... discuss please the differences in performance for your 2G versus 3G sales? And then for Bruce, post of restatement, you planned to shift and reporting to GAAP, and what type paper makes up the $205 million in short term investments?
Tunç Doluca - President and Chief Executive Officer: So, your first question was what?
John Dryden - Charter Equity Research: Just... you said handsets were doing well both in primarily your Korean OEMs. Can just break out how well your performance was and your outlook for 2G versus 3G product set?
Tunç Doluca - President and Chief Executive Officer: Well, Okay so if you look at historically where we've got our revenues from, we've got most of our revenues are really from being able to make power management chips. That is good, highly integrated products mainly for narrow band CDMA applications, mostly in Korea. What has happened in the last year is that we put a lot of emphasis on making products, which actually needed more functionality for both narrow band CDMA, but also additionally third generation phones, UMTS phones as well as we expanded a bit in to the GSM EDGE area, which we actually have no presence in before. So, our ability to integrate these chips has enabled us show the customers products that were a lot more interesting to them and allowed us to even break some of the deals they had with their chipset mix, where they were buying complete chipsets from a competitor. And looking at the advantages that we provided in space savings in cost savings and in supply current savings, they decided that they were better operating some of chip of the chip side fields and using our products in there applications. So, and that was really done because of the high level of integration that we provided with them for them, and because we could put a lot of functions on one chip... piece of silicon.
Bruce E. Kiddoo - Vice President of Finance: This is Bruce. The $205 million was basically just in U.S. Treasury note and what was your... did you have a second question?
John Dryden - Charter Equity Research: I just had a question post the restatement, do you plan to shift to your targets to GAAP accounting forward with respect to all your reporting?
Bruce E. Kiddoo - Vice President of Finance: And so certainly well we report GAAP and we'll talk about those both. We are currently going to talk about our target in both in a GAAP and a non-GAAP basis. We certainly manage the company both ways and are aware of the stock-based comp charge. And as I indicated in my comments right there, they... a strong management of this to reduce those top base comp charges going forward.
Operator: Thank you. Our next question comes from Tore Svanberg from Thomas Weisel Partners.
Unidentified Analyst: Hello?
Operator: Sire, you might have your phone on me.
Unidentified Analyst: Yes, hi this is Evan Lincoln [ph] Tore Svanberg. Thanks for taking my call. I have quick question about your gross margin. As we look at the gross margin... as it raises increases from the low end of the range right now. What you think it could be something catalyst that helps in driving that gross margin, but toward the mid point of new range.
Unidentified Company Representative: Certainly the reason it's at the low end right now is that we've discussed. We've taken down the factory utilization in order proactively manage our inventory levels, and make sure that we don't have to create problem with inventory write-offs et cetera in the future. So a couple of things are going to help to drive that backup. One obviously is that company continues to grow and the utilizations will increase. We are going to work on that certainly to the extend that there is a whole host of cost reduction imitative. And I think turn it over Vijay to discuss those.
Vijay Ullal - Group President: Thanks, Bruce. The obvious initiative that's going on right now is transfer the shutdown of the Dallas fab, the transfer. The processes from Dallas fab to the other fabs is on schedule. I am very pleased with where that's going. So clearly from that activity we are going to get some savings from the fact that the fab is closing. Additionally we will have in the new term reduce spending from equipment transmitter there activity completes. The fact that we've sized our fabs correctly as Bruce pointed out, we'll reduce the amount of inventory reserves we have to take in the future. We've also done a lot of transfer of that underline activities to offshore that will continue over the next several quarters. And we've already reported in previous calls that we have made in improvement in yield, and reduced our operating cost, but still there is a room for further improvement. And we intend to work very hard on those and we are making lot of progress in all of these activities.
Unidentified Analyst: Great, thank you very much. I have another follow up question a follow up question, which is about your new product. Could you comment on web what portion of your current revenue contributed to new products and what your metrics might be measuring your progress there?
Tunç Doluca - President and Chief Executive Officer: We actually that is so you are asking like if you look today's revenue how much it comes from products introduce in the last year or last year, yes, I think that's a question that we can't answer right. We don't have that data right now in front of us. But it's... so, I don't think we are going to give you a number.
Unidentified Analyst: Okay, that's fine. Thank you very much.
Operator: Thank you. Our next question comes from Doug Freedman. Mr. Freedman, we didn't seem to get your company name from the recording.
Doug Freedman - American Technology Research: That's fine, it's an AmTech Research. Thanks for taking my question guys; bunch of them have been answered. But, if we look at seem like we are getting ready to clear up the filings. We are entering a new fiscal year any chance that you can give us some guidance, Bruce, on what you think your free cash flow is going to look in next year on an absolute Dollar basis.
Bruce E. Kiddoo - Vice President of Finance: Yes, I think.... as you know I think most people sort of model at about $600 million cash flow from offs and then you take then you back off to $200 million for CapEx and from our point of view we exceed that $600 million on accelerating and we are seeing the CapEx coming down to the 150 to 175 range that we talked about. So I think that should give you give you in the ball park, Doug.
Doug Freedman - American Technology Research: Now if you we would have focused in on the CapEx, I guess somebody has to ask the question first. You've got a deal with Capson [ph] for wafer supply, correct? What percentage of wafers are coming from external supplies so that we can figure out sort of where this CapEx is going towards?
Unidentified Company Representative: We are doing about 10% of our wafer volume from outside foundries. Capson is the largest percentage of that. The CapEx for next year, I think the bulk of it is not going to fabs; it's going in to end of line
Unidentified Company Representative: And mostly test equipment and also there are some things like EDA expenses as well as some continuing expenses in our ARP system.
Doug Freedman - American Technology Research: Okay. What I am attempting to get is there any sort of guidance on what you think depreciation and amortization is going to work like for next year?
Unidentified Company Representative: Certainly if you look at the current quarter, we did. Yes, so the current quarter was at $44 million, but $11 million of that was accelerated depreciation associated with the Dallas fab shut down. And so, on a normalized basis, for sort of that about $30 million. And you can see our CapEx is running... we are $37 million this quarter so basically matching those at that point in time. So that's probably a reasonable run rate.
Operator: Thank you. Our next question comes from Chris Donley [ph] from JPMorgan.
Unidentified Analyst: Hi guys just couple of questions. First of all, Tunç, if you just take a step back and kind of give us your overall assessment on the end markets, would you say you are expecting, it sounds like you are expecting seasonal demand, normal seasonal demand from those of the end markets?
Tunç Doluca - President and Chief Executive Officer: Well, okay. I think that that's really difficult to predict for us right now. We do have this... I think that it's going depend a lot on what happens to oil prices, frankly. I have... we do see some caution from our customers. And as you would expect, the first people that get affected by any macroeconomic situation is the consumer guys. And normally, this is...if you look at normal seasonality this should be the stronger quarters from our consumer. But we believe that they are behaving and everybody cautious way. So other than that, it's really difficult to predict the other markets. I think there possibly they are going to be fairly seasonal. But I don't think that, personally my biggest worry is about what's going to happen to the demand we see from our consumer customers.
Unidentified Analyst: Got it. And then as a follow up, little bit more of a I guess a broader longer-term question, you guys have been seeing for a while, that the strategy with Maxim has been: Hey, we are going to get aggressive on pricing and take our margins down, but drive higher revenue growth. And now that it seems like you are sort of getting to the bottom of your margin range. You still want have to go to the end market. I mean are you guys changing the strategy? Do you think that the strategy has been successful? Can you just shed a little more light on what are you thinking in terms of the longer-term direction of the company?
Tunç Doluca - President and Chief Executive Officer: Okay, so we want to continue with our original strategy in terms of participating in all four major markets. And also, we believe that there are lot of opportunities in the consumer and computing market, where we can get... when we make prior differentiate products we can get the margins there in our target range. There was... when you blend that with the margins we get in our industrial comps markets, we can achieve the growth and also be able to get margins in the range that we are going after. So I think that the changes the company really made is not really the essentially to the strategy, but how we implement that. That's why we organized differently that's why we are making sure that our... to make sure that our high integration strategy works. We've got the business industry to gather that needed to do that in one division. We really made some tweaks or changes or follow up through on some initiatives to be able to grow and have above of average margins in our industry. So I think that to continue to grow the company has to remain on the path that it's on right now.
Bruce E. Kiddoo - Vice President of Finance: Andthis is Bruce just kind of reiterate what Tunç said. To be clear our strategy is not trade margin dollars for revenue at this point. We are managing against our four end markets, and we believe that by having that exposure to all those four end markets will allow us to grow faster than our peers, but we are absolutely targeting stable gross margin in our 63% to 65% range and then we are looking to control OpEx to get operating leverage below the line. And so clearly that's the model for us going forward just to grow this business with stable gross margin and improving operating margins.
Unidentified Analyst: and so Bruce, if it comes down to... go through another year of... sort of disappointing revenue growth. And you guys have make a decision of... okay we can either get a little more aggressive on price and take that revenue growth up. Or we can stay here, maintain our margins but perhaps grow, in line with the industry a little bit slower; what would be the choice?
Bruce E. Kiddoo - Vice President of Finance: We think with the portfolio of business that we are in and the kind of mix the businesses, with their industrial on comp business is the very strong margin that we can go ahead and make those decisions and go aggressively after some of these consumers business and still maintain our target margin. So at this point we think we have the strategy in the differentiated products that allow us to achieve that growth without having to sacrifice our gross margin target.
Unidentified Analyst: Got it. Thanks guys.
Operator: Thank you. Our next question comes from Craig Hettenbach from Goldman Sachs.
Craig Hettenbach - Goldman Sachs: Yes, thank you can you provide anymore color on the gross you expect in the industrial market for the September quarter and is there any end points on the relationship with [ph] and to the impact of the industrial business.
Unidentified Company Representative: Well, okay. First of all the impact that's going to come from distribution, the admin strategy that's not going to be seen in the very short-term; it's going really be a gradual slow increase. So, it's really difficult to give a quarter-over-quarter type number on its effect. So, as you know, it's a very broad market and it's not really in a kind of slowly. So we don't really see a major change from the prior quarter.
Craig Hettenbach - Goldman Sachs: Okay. And then it's like a follow up on the notebook side with a new network category of ultra mobile, PC. Do you guys expect complete for core power for those products?
Unidentified Company Representative: Well, in anywhere we are seeing we can make a differentiated product. We essentially want to compete that's an area, where we believe there is some stock with where we can make differentiated product and again there is some debt where we can. So made maybe Chris can comment a little bit about too.
Christopher J. Neil - Division Vice President: Yes, this Chris Neil speaking. Are you referring to the Adam process type products, the smaller kind of 10-inch kind of screen that PCs or notebooks? We are competing in there and we want a couple of design and we expect to see some revenue from that in FY09 and some what really revenue from that from FY10. Then I am talking more about the notebooks.
Craig Hettenbach - Goldman Sachs: Thank you.
Operator: Thank you. Our next question comes from Keith Lou from Crimson Mutual [ph].
Unidentified Analyst: Hi guys thanks for taking my question. I also have one related to CapEx so in book absolute terms and as a percentage of sales CapEx dollars are trended, well clearly how do you expect that been as percentage of sales to tracked say post of fiscal '09 period giving your longer term outlook and the current manufacturing for note book that you have in dollars trend down?
Unidentified Company Representative: I mean long term basis we've seen this been sort of mix single digits, and so currently its sort of around the 6% to 8%, so we see as trending down to the lower end of that range.
Unidentified Analyst: Thank you.
Unidentified Company Representative: Operator. We will take one more question and we would like to wind down this call.
Operator: Certainly. Our final question comes from Steve Smigie from Raymond James.
Steve Smigie - Raymond James: Great thank you. I was wondering if you conference call comment on the improvement there and the on-time deliveries and what impact that's had with your customers, have you seen then come back to you and say hey look you've been doing, we want there in our... kind of few more comfortable increasing orders than at any better demand creation from that?
Unidentified Company Representative: Well, with... I mean the impact, the most measurable impact that we see is what I mentioned on the call, which is essentially. We... they have a rating system for sort their customers their suppliers and the rating systems involves many aspects like the quality of products the delivery technology, how better is from the competitors and also of course your price reductions. So we what we've seen is that in terms of... in the past we used to see you get negative scores for our delivery performance and that's pretty has been removed now. That's what's enabled us to get to the top partner accounts; ten out eleven then rate us that put us in a preferred supplier category. The real impact from this is that when it comes time to win designs with those customers this doesn't it's not in issue at all so it really helps you in closing a design and winning design and being selected as a supplier for a major stock that they might have. So, it definitely has a lot of help in terms of closing on designs other then that its really hard to quantify exactly what it achieves at a given customer.
Steve Smigie - Raymond James: Great.
Vijay Ullal - Group President: This is Vijay, and I'd like to add anecdotally this will maybe... can give a little bit of a flavor how this work and at one at a specific cell phone manufacture, we've used to be a third or fourth vendor that was considered for new design wins, and basically right now we at in the top 1 or 2 so that's the difference.
Steve Smigie - Raymond James: Makes sense, all right. And then follow-up question was just you talked a little bit about some passive optical network parts just hopping you could talk a little bit more about your exposure as a percentage of revenue and just general color on that market where you think you get success and potential growth out of that market.
Pirooz Parvarandeh - Group President: So, this is Pirooz speaking. I am not going to give you unfortunately any specific numbers, but let me provide you with some color with regard to what are competitive advantages and also little color on the market, market is expanding very rapidly in the U.S. driven primarily by of the Verizon roll out. And the kind of products that we are offering in that space, fall into several categories. First there is an optical to electrical interface and vice versa and we provide very high speed high performance products that are optically designed to meet make that link works so another we are offering chipsets that work together very well and provide the highest performance in the industry to make sure that that link has good performance. In addition to that we have products that are again willing to that optical, electrical and vice versa interface which are used for the control and monitoring at the laser diodes, and then again that's as we said provides higher dollar contempt for us in those areas. So to sum it up, we have technology that has allows higher integration allows play an optimize link for that market and we know that that's a growing market, and we believe that we are very well positioned in that particular market.
Steve Smigie - Raymond James: Okay, great. Thank you.
Paresh Maniar - Executive Director of Investor Relations: Thank you, operator. This concludes Maxim conference call. We would like to thank you for continued participation and interest. Good bye.
Operator: Thank you ladies and gentlemen for your participation in today's conference. This does concludes program. You may now disconnect. Good day.